Operator: Greetings. And welcome to the Stillwater Mining Company's Third Quarter 2014 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host, Mick McMullen, President and CEO of Stillwater Mining Company. Please go ahead, sir.
Mick McMullen: Thank you very much. And thank you everyone for listening in wherever you are. Today we will be presenting our third quarter 2014 results. There is an earnings deck which is available for people online and I’ll be using that deck to refer to as I go through the presentation and I will take Q&A at the end of the presentation. So turning to that deck on slide two, we have our usual forward-looking statement. I would like people to read that at their leisure and take note of the specific requirements within that statement. Turning to slide three on our third quarter highlights. Overall, it was a quite good quarter for us. We had $18.1 million of net income, which on a fully diluted basis comes at $0.14 a share. Importantly, for us, we generated $37.2 million of cash over the course of the quarter. This was the second best quarter in the company’s 28-year history for cash generation. We ended the quarter with $509 million in cash and investments, which was up $7.2 million quarter-on-quarter. But we did repay $30 million of debt early in the quarter. That was debt that we could redeem at face value. It was costing us approximately $2.5 million of interest per annum and we had the ability to redeem it early and we feel given a very strong liquidity position that might change for us to do. Corporate overheads were reduced 9% year-on-year to $10.7 million for the quarter. Our all-in sustaining costs, which I will refer to during the presentation as AISC was $873 an ounce. That puts us solidly in the middle for the year-to-date of our guidance range at $805. We will discuss some of the aspects of the AISC on the future slides. Mine production was at 123,000 ounces of palladium and platinum combined, whenever we talk about ounces, mine ounces throughout the presentation or any of our earnings deck, I would like people to remember that it’s a combination of platinum and palladium broadly in the ratio of 1.4 palladium to 1 platinum. Recycling material processed was just over 117,000 ounces of platinum, palladium and rhodium, relatively flat for the quarter versus the first two quarters. We had another strong safety performance. Again, safety is very important for us, our overall incidence rate declined by 17% year-on-year for previous nine months. Moving to slide four, to discuss the numbers in detail. Our third quarter results, you can see again, our mine production year-on-year was down slightly about 1%. Now total cash costs per mine down net of credits was up about 29.7%. However, I would like to point out that in Q3 of 2013 we re-brick the furnace at our smelting facility. We recovered a substantial amount of ounces out of there, which approximately required $140 an ounce in Q3 2013 of additional credit. We do this every three and half to four years. It was an abnormal gain in Q3 of last year. So removing the effect of that our cash costs actually went down slightly at the operational level. All-in sustaining costs came down a little bit by about 1%. Corporate overheads continued to come down, if shareholders will recall, by Q3 of last year, the Board we have today have made in place for awhile. We started to make some of the changes and set the new direction for the company and so we had already started to see some reduction in corporate overhead by Q3 of last year. Capital expenditures broadly flat relative to the same period last year. And again, our recycling ounces Fed came down quite a bit versus last year. We did see a very strong last year and we also, as I say, recovered a lot of ounces through the re-bricking in the furnace. Moving onto slide five, if we look at the year-to-date results year-on-year. Again, production broadly flat from last year. Again, total cash cost up slightly but still with that effect in 2013 of that re-bricking event. All-in sustaining costs are down relative to the previous year. Corporate overhead is significantly down. You can see a $20 million reduction for the nine months in corporate overhead, which again leads to a fairly significant cost reduction per ounce. Capital cost down slightly and PGM ounces down over the course of the nine months from the Recycling business. I would like to spend some time on slide six, which discusses our costs at the mine site. Cost is very important for us. We are in the process of driving our cost down. We believe that we have significant opportunity within the business to drive our cost down. The table on the slide six shows the cost by area for each mine and on a consolidated basis for the three quarters of this year. You can clearly see that our mining costs are our single largest component of our costs. You can see that our site administration. This is the site only, so our site administration is our second largest bucket of costs. And if you look at the trains start at Stillwater mine, you can see that in the first quarter of this year, our costs were around about $190 a ton for mining, were down the $166 a ton. I will note that in Q3 of this year, we had the impact of 4% IIRs that was part of the union award from four years ago. So the mine has actually done quite well to continue to drive its cost down against that IRRs that was great some years ago. Milling costs are very large, our trend is very good, downstream processing is our smelting costs and again, continues to just sort of drive down to a lower level. Our by-product credits have been come down from the previous quarter in Q3 of both mines. That’s more to do with the timing of sales of some of that by-product nickel and copper but broadly we see by-product credits as somewhere in the order of low $20 an ounce credit. If you look at the East Boulder Mine, we’ve been very successful in driving out mining cost down. That’s a percentage reduction from $146 a ton to $117 a ton in Q3. That’s a significant reduction in cost. You can also see our milling cost over the cost of the year have down. And overall for the two mines, if you look at the total costs during the close of this year, we managed to reduce the Stillwater Mining costs by about 9.5% per ton and East Boulder Mine by about approximately 14% per ton. On a consolidated basis, that comes out to be approximately 12% reduction during the course of this year, which again I think is a sustainable reduction. We’re continuing to work on further reductions but it does show that we have -- we’ve got a very strong focus on cost reduction and it is starting to pay dividends for us. Turning to slide seven, we will talk about what those dividends are for other companies. We are very focused on generating free cash flow. And this is after all spend on corporate costs so after all of that cost associated with capital of mines, both project capital, sustaining capital. At the end of the day, we look at how much money did the business really generate. Q3 was a very strong cash generation quarter. We generated just over $37 million, which allowed us to then retire $30 million of debt. For us, this is a very important metric. We really see the health of the business is being measured by how much money do we really make. This is the third quarter of quite strong cash generation that we’ve had in the business as I’ve said is the second strongest cash generation in the company’s history and we’ve continued through October to continue to build on that cash balance. And as of this morning, we had continued to add on that cash balance still further. And I think that all of the cost reductions that we’ve been very diligent of trying to implement, this is where it shows up in their balance sheet is that we are adding cash to the balance sheet on a continuous basis. Go to slide eight, which looks at quarterly net income. You can see here over the course of the last year and three quarters, the Q3 and Q4 of last year very much were impacted by the two large impairments that we took on our foreign operations. Coming into Q1 of this year, again we’ve been consistently generating reasonable net income and our goal is to try and grow that net income as we see the improvement in the business. Moving to slide 9. We have made a lot of changes in the operations. At the last earnings call, we told people that we were redeploying some of our resources within our Stillwater mine to focus on more profitable ounces. We’ve decided that we will not mine ounces at loss and so some ounces that we previously being produced, were being produced at a loss and are being produced at a loss because we were mining them ahead of when the infrastructure was ready to mine those ounces really. So we elected to put those ounces to one side and to do the development work that’s necessary to mine those ounces much more profitably. We’re waiting for that infrastructure to catch up and we will come back to those ounces in around about Q3 of 2015. We think that’s the right approach. I’ve been very clearly that this company is not focused on just producing ounces for the sake of producing ounces. We are focused on producing free cash flow. We are also changing the culture within the organization. And this is equally as important as everything else we do. It’s very important that we get the culture to be right for people to understand that we look to save this business up for the long-term future. That comes about as a result of management having a very detailed focus on the messaging we give to our employees. We are very consistent and we are saving this company up for the future. We had reorganized our staffing numbers and employee numbers. During the course of this year, we had taken our headcount down from 1773 at the start of the year to 1641 at the end of Q3, that’s continued to reduce slightly as we go forward. We have achieved that headcount reductions through combination of voluntary and involuntary programs as well as natural attrition. So as some people leave, we replace some of them but in some areas we don’t replace them. That’s had a minimal impact on mine production. And I will talk about that in a few slides where we can actually see the mine production over the course of the last four months. We are evaluating optimal staffing levels and we expect to manage that through natural attrition going forward. You can see from the graph on this slide that as we’ve started to reduce our headcount, we’ve arrested the very steep increase that we saw in the previous two years in the cash cost, which is the blue line on this graph. We’ve hold that arrest. We have a hold of that increase. We’ve started to drive those costs down. And as we continue to see reducing headcounts, we will see those cost come down. Slide 10, I want to spend some time on AISC. It is down on the previous year. It did increase over the first half of the year. And the reason for that was really two-fold. We saw an approximate $14 an ounce increase in our G&A costs from the first half. We did take some of their annual costs as a run-off in Q3 and therefore had to realize those costs. We also have some non-cash accruals of approximately $6 an ounce in Q3 that has pushed that SG&A cost up slightly. The larger impact has been our sustaining capital. That’s up approximately $37 an ounce from the first half and you can see from the table there on the second bottom line that sustaining capital in Q1 was $137 an ounce. In Q2, it was $159 and in Q3, it was $184 an ounce. And the reason for that there are multiple reasons. But the main reason, approximately $30 of that increase has been because of the very strong development rights we’ve had at both mines, but particularly at the Stillwater Mine. What we’ve seen has been our development crudes, have significantly outperformed the development rates in the first half and budget. Our units costs of doing that development or run our site development I’m talking about putting in declines and drives for all production. Our unit rates of doing that have actually gone down, but we’ve just done a lot more footage of advance than the previous two quarters. That will allow us to reduce that in 2015, but I think it is symbolic of the fact that we continue to invest in the future of this mine. We are not generating free cash by cutting back on important things like development. In underground mine, you must invest in development. We’ve done that. We’ve actually done significantly more than we budgeted for and what the run rate was for the first half that puts us in a very flexible position. So all up, our year-to-date all-in sustaining cost is in the middle of our current guidance range. We are comfortable with that and our goal really still is to reduce AISC by approximately $100 an ounce from our 2013 numbers. Moving on to slide 11. And I think if people would like to have a look at the trend of the graph here. We do say that the trend is our friend. You can clearly see that July, our mine production was down. We made a lot of changes, particularly at the Stillwater Mining relating to restructuring and headcount and we physically moved people around within that mine which reduces your production. It is a very large mine but we had to move people from one area and equipment from one area, physically into other areas that did lead to lower production in July. In August -- at the end of August, we started up the third mill crew at the East Boulder Mine, which then gave us an increase in production as we guided the market to. And then out of the changes we made, came into affect through September and October, particularly at the Stillwater Mining, we saw production start to ramp back up. We’ve seen an approximate 20% increase in production between October over July and we expect to see a fairly strong Q4 based on the numbers that we see today. Slide 12, just looking at our sort of EBITDA and average realized price over the last four years. Again, a fairly strong EBITDA in the quarter, $45 million approximately in EBITDA. Year-to-date, we are sitting at about $138 million. We’ve seen prices have been fairly stronger in the quarter, tailed off just at the backend of the quarter. But in general, a lot of that EBITDA has been driven by a combination of price but also operational savings and just through operational cash flow generation. Moving to slide 13. We have -- clearly, we have two core business units, one is our mines. I have spent a lot of time talking about the mines because that’s really where we’ve made a lot of changes. But our Metallurgical Complex and Recycling business is the other core business unit we have. It’s a very low-risk business. It’s proven technology. We’ve got a long track record in this business and we hedge out all of our recycling positions. So we don’t take market risk in this business. The North American auto catalyst palladium supply market is forecast to grow somewhere in the order of 7% to 10% per annum. And by us being in that market gives us access to that growth. We have significant capacity in this smelter complex. We have started to receive trial shipments of other types of products that are non-auto cat to increase the utilization. We have started to build on our team with some senior PGM industry expertise. This is a very much a relationship based business and by building on our team, we think that will help us grow our volumes. Environmental excellence across the whole company is very important for us and particularly at this facility where our SO2 emissions are at 2% of permitted levels. We are a world-class leader in this type of facility and in addition to that, just as the -- on the mining side, the BLM have just recently awarded us their Hardrock Mineral Community Outreach and Economic Security Award for 2013, which again I think underscores our commitment to the environment. Our recycle ounces are increasingly being seen as an attractive long-term supply by customers. This is due to geopolitical risk in many mines and the lower risk nature of recycling. So the nature of this recycling business is starting to change from everybody being focused on very short-term installed contracts to people starting to be focused on long-term club arrangements. I’d like to touch on the second last bullet point here and this is that we are aggressively pursuing monies that we owned and from historical activities of the company. If shareholders can recall back in ’08 and through 2009, ’10 and ’11, the company wrote off some fairly material amounts of money based on some of the business practices we have at those times. We are starting to take actions to recover that money. We can’t forecast how successful or otherwise those actions will be. I can say that in Q3, we did recover $600,000 of those monies and we will aggressively pursue the remaining amounts. The Johnson Matthey relationship is working very well. Clearly, Johnson Matthey is a very large player in the industry. We are very happy to working with the group like these guys. And they are recycling volumes. They are sending to us are exceedingly contractual commitments. We think that having a partner in the industry like Johnson Matthey is very good for our business and it provides additional information for us, market sought and potentially has the ability for us to stop moving into other parts of the business. Moving on to slide 14. Metal inventory, we continue to reduce our inventory. I talked about the Johnson Matthey arrangement. One of these areas has been through working with Johnson Matthey much more efficiently. We have been able to reduce some of our inventory further and the realized basket price we have achieved over the course of the Q3 for mined materials was that $983 an ounce. A little bit half recycled material. We have slightly different metal mix. And as of yesterday, our basket price was just under $900 an ounce. Coming on to slide 15, talking about our Montana projects. Graham Creek has come on ahead of schedule. We really came on about a quarter ahead of schedule. We are doing quite a bit of development drilling. The drilling that we’ve done at Graham Creek continues to show up some interesting material out there. And really this allowed us to bring on the third shift at the East Boulder mill and we’re really looking forward to being able to get more production out of this area. I will cite that this whole Graham Creek project is being executed very well and it does appear to have significant potential. At Blitz, which is our mine development project, we do some surface drilling during the summer really which is aimed at identifying where the Reef is going so that we can turn the Tunnel Boring Machine well in advance. We’ve progressed approximately 7,200 feet with that TBM. We are slightly ahead of that in our parallel conventional drive. We do want to bring this on as quickly as we possibly can, so that has led us to put a second Tunnel Boring Crew Machine on -- Tunnel Boring Machine crew on in October. We are looking at additional opportunities to see whether we can bring additional crews on to expedite progress in 2015. Overall, things are going more or less according to plan. And again, we are quite excited about this project and what it could mean for the company in the medium term. Portfolio management, we had two external assets, one is called Marathon, which is a PGM-copper asset in Canada. The other one is Altar, which is a copper-gold asset in Argentina. As we cited before, Marathon does look currently give us a return that is necessary for us to justify development. We have scaled back our activities (indiscernible) significantly. We are doing some success-based exploration work going forward there. Successful exploration has the potential to move that project into a different category for us. For this year, we will spend somewhere in the order of $4 million to $6 million on it and going forward it’s sort of a $1 million to $3 million spend level for us. Altar is a non-core asset for us by virtue of its -- would really have a size and its commodity mix. We are a PGM company. We are doing a minimum level of activity there at the moment. We are looking at some alternatives to realize value from that project. We have cut spending back significantly. We did extend some of the tenure there through next year with one of the holders. We have done quite a bit of work on this project in the last quarter looking at how to produce more marketable concentrates and also some of the -- some basic sort of early studies in terms of how that project might look. We have had some success in both of those areas. This year, our spend is going to be between $2 million and $4 million. And on a go forward basis, it’s somewhere in the order of $3 million to $5 million is about the spend right that we expect on that. Moving to slide 17, I have guidance we haven’t changed it from the last call, so we are looking at around about production guidance range of 510,000 to 525,000 ounces. Total cash cost somewhere in the order of $530 to $570. All-in sustaining costs in the range of $780 to $830. And you can say the split of the corporate overheads in the capital. I think we are comfortable with that guidance by somewhere we sit today. We didn’t see any need to change that guidance today. So in summary on slide 18, we have quite favorable momentum in operational and financial performance through the quarter. We continued strong generation and improving our liquidity position. Our cost reductions and operational improvements are working. We still have a lot of work to do in this area, but that is really our core focus. We have a continued focus on capital spend and working capital and controllable costs. We have committed to do and we are doing some fairly extensive definitional drilling in progress at Graham Creek to define further reserves there. We started production there from in Q2, but we have developed a significant strike length of the ore body there that subject to us have any success and that drilling could support additional production. And given that we have a mill that even after going to the extra shift in the mill is still only running five days a week. I would like to see that filled up one day. And further, we continue to see ongoing favorable PGM fundamentals, car demand particularly gasoline engines cars in North America and Asia is very strong. We are seeing a bit of a bouncing Europe for car demand there are immediately from a pretty low base. And overall, we think that the company is positioned very well with an excellent liquidity position. No short-term debt and improving operational metrics. And that is the end of the presentation. I am happy to open it up for questions.
Operator: (Operator Instructions) Our first question today is coming from David Gagliano from Bank of Montreal. Please proceed with your question.
David Gagliano - Bank of Montreal: Hi, everybody. Thanks for taking my question. I just have a quick one. The sales out of inventory, I believe last couple of quarters we’ve seen some volumes coming out of inventory. In the sales line I think it was 9,000 ounces this quarter. I’m just wondering, first of all, if you could comment on the trend in the future for those inventory sales. And then number two, just what the underlying drivers behind the inventory sales? Thanks.
Mick McMullen: Sure. We do have a slide 14 in the deck, which shows total inventory and so. That’s a combination of inventory sitting at the refinery, inventory within smelter, inventory within base metal refinery, and inventory within slag. You can see if you look at that graph that over the course of really from Q1 of this year, we started to get rid of the slag, that’s the black bar at the very top. That was material. That was left out from the smelter. We’re sitting up at the mine, waiting to get through the regulatory process. And so we move that through. And you can see it takes a few months for material to move through our system. And so that’s sort of more as dissipate in Q1. It was really in the Q2, we started seeing the revenue from that. We then had quite a bit of inventory sitting within the smelter. Again, we reduced that in Q2, but really going to pay for that in Q3. So when we realize the inventory has been the slag, was I guess, Greg, you can help me here slag total inventory, we reduce 13,000 ounces seems to probably the number.
Greg Wing: That seems -- 13,000 was right.
Mick McMullen: That’s right. Then we had quite a bit of inventory sitting between our smelter and sitting at the outside refinery. And where the Johnson Matthey agreement came in was by working with them we manage to reduce that inventory between our smelter, BMR and the refinery. And overall, I guess it’s being 20,000, 25,000 ounces over the course of this year that we’ve been able to squeeze out of inventory between the mine and back in the refinery I guess. In terms of what’s going to happen going forward, obviously the bunch of realized inventory, it’s a one-off. I think there is still some inventory that we do have the ability to realize and we’re working on that. I prefer not to give full guidance on that until we’ve actually done it, because I think it’s much better for me to actually delivered them in total (indiscernible) give guidance on something that we’re still working on.
David Gagliano - Bank of Montreal: Okay. And just the quick follow-up. How was that accounting for obviously close to the revenue line? How do they flow through the cost line?
Greg Wing: Well, again, we incur the cost in a period, but it then gets allocated to the material at the time it sold. So in the meantime, those costs that have accumulated sit in the inventory line. I’m not sure if that’s your question, but that our orders.
Mick McMullen: I suspect the question. Actually if we reprice it is, has that inventory realization driven out all-in sustaining cost down artificially low. And I think the answer is no, because as it comes out of inventory, it gets an average cost allocated to it anyway. Is that what you’re after David?
David Gagliano - Bank of Montreal: That’s exactly right. Okay. Thanks very much. I appreciate it.
Operator: (Operator Instructions) Our next question today is coming from Sam Dubinsky from Wells Fargo. Please proceed with your question.
Sam Dubinsky - Wells Fargo: Great, guys. Thanks for taking my question. I have a couple. Just in terms of the pricing mechanism or PGMs, it seems like they’re changing with the LME taking a lead. Could you just talk about how the LMEs methodology differs from the prior system? And what impact do you think they will have on the market?
Mick McMullen: Well, I’m not answering the second one. First, if it’s okay with you Sam. I don’t think it will have any impact on the market apart from potentially removing uncertainty. Markets don’t like uncertainty and I think anytime when you got perception that perhaps one of your processing methods is not working correctly or has issues. I think going to a more open talk method, which probably the LME method, will be more open and transparent, provides more certainty with label. And so I think that’s actually -- that’s a good thing. Personally, I don’t think it will make any difference as to the actual price of the metal. So on the 30 November, the lighting prices $800 an ounce on the 1st of December. When the LME starts processing, it will probably still be the same price. I think that the mechanisms that will be used, again the LME is probably a slightly more transparent method. And again, it just comes back to a confidence level that, perhaps if -- and we’ve not seen any evidence of this, but if people had the perception that the current methodology is more open to not leading to a true price, going to something that’s probably perceive to be more open is probably a good thing.
Sam Dubinsky - Wells Fargo: Do you think the LME will have to take inventory to start handling the benchmarking or is it an inventory free processes, like will they have to have warehouses in this raw material, I am just thinking maybe there to be some unexpected benefit to this fund, I'm just not sure?
Mick McMullen: I don’t think that given that data, well, I haven’t seen it. But, perhaps, I will start taking inventory. But if you look at where inventory sits in the PGM well at the moment and there are couples of very large players in it, one of which we have an alliance with. So that 3,000 out in the marketplace, yet. But, again, I wouldn’t be surprise if I go down that route and but, again, that isn’t really going to have an impact on approaching.
Sam Dubinsky - Wells Fargo: Okay. Great. And then, I know you guys classify costs a lot differently than some of your peers as always lead to some confusion? But is the term sustaining cost a fairway to classify this expenses, because a component of that’s growth or am I wrong, at some point will these investments lead to future growth or its production really kind of it's more, it really is true sustaining?
Mick McMullen: We’d like to think its true sustaining, because we do strip out for instance at Blitz project is not in our all-in sustaining costs, because that true is a growth project. There is no sort of standard definition of AISC and so you get down to a point where, for example, I will give you an example from Q3. The -- approximately $30 an ounce extra that we spend on our capital development will lead to additional production, but that’s not the way the accounts work. And unfortunately it’s very difficult for us to strip that out on a quarter-by-quarter basis. We think what we’ve done is a fair and reasonable approach to it. Probably the area where we don’t do our accounts who are reporting the same as some other peer groups is that and it’s important for people to understand when we talk about ounces it an ounce of combined platinum and palladium. Some of our peers would report palladium and then have the platinum as a by-product credit we do not do that.
Sam Dubinsky - Wells Fargo: Okay. And then in terms of Marathon, PGM and copper pricing, does the asset look attractive and sort of the correlate to that, you said that its just doesn't give you an attractive return based on your numbers, what type of return do you define is attractive?
Mick McMullen: Again, going from your second question first, we had a mix -- series of metrics that we use, which is not just one metric. So it’s a combination of a NPV to CapEx ratio, it’s an IRR component, it’s a strategic fit component. And we score -- we rank them and score them and it needs to come out with a certain score. But then, secondly, the project has to then stack up against other things we could do with that cash…
Sam Dubinsky - Wells Fargo: Okay.
Mick McMullen: … which could be investing in additional mine development here in Montana and it’s really got to pass both of those metrics. So it’s not just a single metric that we need -- we don’t need to see an IRR of X percent and that’s going to be sufficient. It’s still a fair y-o-y, I would say from leading those hurdles for us. We don’t give guidance on what they are and we certainly don’t say the people what metal prices would need to be. But the metal prices would need to be appreciably higher than we are today for that to work. I think for Marathon to work it will be a combination of a few things, one, is obviously metal price, the other one is currency being in Canada and we have had some consistency. Capital cost, I think, if we see the capital cost come down a little bit, would certainly help a lot and again, I think, industry pressures are probably coming off a bit in CapEx. And really the other one is the off tax side of it is that some of the work that we have done on that project is looking at how do we get that material into our smelter, because if your sending it to a third-party smelter, you really are giving a lot of value of that material. And so, we are working on all of those fronts. I don’t think its going to be just a certain metal price trigger that we will get us across the line.
Greg Wing: The other point perhaps is that the capital cost of it, if you look at the life of the project, there is a challenge in recovering the capital over the life of the resource, which is why we are continuing to do some limited exploration in that area as well. If we were to encounter some additional resource that paid well and added enough life to it, that would significantly help to recoup the initial investment, which is higher than we’d originally anticipated.
Sam Dubinsky - Wells Fargo: Good. Great. And just my last question, Graham Creek, I know its still early but its only kind of benchmarking give us in terms of relative cost structures just so we -- kind of get an idea of how that output in theory could benefit the cost structure longer term?
Mick McMullen: It is early days and I don’t think we can break it out. But I can refer you to that slide where the number which alludes me at the movement, which shows the cost per ton of mining between the two operations. I am just finding it now -- sorry, slide six. I don’t think its coincidental that we’ve seen a fairly substantial cost reduction at East Boulder in the mining costs…..
Sam Dubinsky - Wells Fargo: Okay.
Mick McMullen: …as Graham Greek has come on and ramped up. And I will sigh at the movement, we only have one ramp system, one mining front, I guess, you could call it operation with Graham Creek and that’s out of the strike length of three miles that we’ve opened up. The purpose of the drilling we are doing now is to delineate the next ramp system. So that we can get in there and add that and broadly again this is not formal guidance. But each ramp system adds about 20,000 to 25,000 ounces off production a year broadly.
Sam Dubinsky - Wells Fargo: Okay. Great. Thank you very much.
Mick McMullen: Yes.
Operator: Thank you. Our next question today is coming from Garrett Nelson from BB&T Capital Markets. Please proceed with your question.
Garrett Nelson - BB&T Capital Markets: Hi, Mick and Greg.
Mick McMullen: Hi Garret, how are you?
Garrett Nelson - BB&T Capital Markets: Good. Thanks. We are a little surprised to see that the palladium and platinum price realizations from the mining segment were below the average spot prices for the quarter. With this being the first quarter of the Johnson Matthey supply agreement, we had assumed Stillwater would see some sort of benefit from the sponge premium but it didn’t look like that happened, why was that?
Mick McMullen: Timing result. If you look at the average price of the quarter and you look at the costs towards the end of the quarter, you will see that the price towards the end of the quarter fell off significantly. And we ended up having quite a bit of that production sell towards the back end because again if you refer to the graph that shows that production by month, you’ll see that July was a lot of production month. So -- I don’t know if you’ve a done a weighted average. But if you do a weighted average by production by month, you might get a slightly different answer.
Garrett Nelson - BB&T Capital Markets: Okay. That’s helpful.
Mick McMullen: Yes. Sorry, I can’t comment to say that again sponge premiums, that is out in the market place, sponge premiums declined during the course of the quarter. And we have seen them actually pick up a little bit post the end of the quarter. So again it can come back to when we sold. I can’t tell you that when we did sell material, we did show you even better price than just the strikes, what price if you went to [Kitco] (ph) or Bloomberg.
Garrett Nelson - BB&T Capital Markets: Okay. That’s helpful. And then I have a follow-up question, follow up on earlier question on the IRRs of different uses of cash. Could you remind us of Stillwater for the share repurchased authorization in place, and if so, how much capacity is left on it? And what point do the returns of a buyback weigh the returns of other uses of cash such as additional debt pay down, development CapEx or potential acquisitions?
Mick McMullen: We did all have a repurchase plan in place at the movement and the company considers such uses of cash on a regular basis. In terms of -- what we need to see in terms of IRR from a project versus borrowing back capital. If you recall, I’ve said to Sam that we have a metrics of things that we look at. So one of that seems obviously just have broad return. The other one is the risk and clearly something that’s got the zero risk tools such as buying back debt for instance at price value. It doesn’t need to have a very high return to come out in front on a risk-adjusted basis. So that’s why we bought the debt back in Q1 -- Q3 sorry. I think, we would need to see -- again there is not a single metric we look at. The metric that we gave the most weight into is entry related to CapEx ratio on an aftertax basis of 9%. We really need to see that metric at least better than 0.25 to 1 and ideally better than the 0.5 to 1. So you can back calculate for me what that needs to be. But projects have got to give us, given that there is always risk in projects developing them. A project has to give us a pretty decent return for us to justify spending the money on.
Garrett Nelson - BB&T Capital Markets: Okay. And then final question, could you remind us of the long-term price assumption for palladium and platinum use in Stillwater’s current proven and probable reserve number?
Mick McMullen: We actually use a trailing 12 quarter price. I’m not sure I have seen that in the last month or so. But it’s probably a little bit lower than the price, right now. In our budgeting internally, we tend to use the current price that eliminates a lot of discussion about where prices are going and then look at sensitivities around that and have a discussion on using that approach.
Greg Wing: And I suspect, Garrett, your question is designed trying to discover as to whether we may have to impair some of that reserves based on car metal process. And I think where we are today, we’re pretty comfortable. We do an annual review that will come out in February. But we are feeling pretty comfortable at the moment, particularly given our cost reductions.
Garrett Nelson - BB&T Capital Markets: Sure. Okay. Thanks a lot.
Operator: Thank you. (Operator Instructions) Our next question is coming from Daniel McConvey from Rossport Investments. Please proceed with your question.
Daniel McConvey - Rossport Investments: Good day. Thanks. Couple of questions. Just on -- Mick, what can you tell us about 2015, you’ve got the trend in employees. You mentioned some of the zones in 2015, to be back into too much of the development done. So can we look forward to this pattern continuing into 2015?
Mick McMullen: Broadly yes. We will be putting our 2015 guidance later this year. And I think at that time, that’s the appropriate for me to really comment on what ’15 specifically looks like. But I think, where we can say, we will be is that we’ve obviously invested a lot in sustaining CapEx in ’14, which will allow us to own that back a bit in ’15. We have said that those steps that we took offline at the Stillwater operation, we will be back in doing Q3 of next year. So, again, we would expect those to have a bit of an increase from that time in terms of production from that time onwards. And, again, through natural attrition of our employee base, we think we can manage the headcount going forward. But probably some other areas where we feel that we’ve got some other potential, obviously the entire mining industry is going through cost reduction exercises. We are starting to see benefits from the lower oil price. Some of that input costs, I think have some potential to move as well in the right direction for us. So there is still a lot of work for us to do here in the business.
Daniel McConvey - Rossport Investments: What are the kinds of things that are allowing you to reduce your headcount? You mentioned a couple of them. But I’m guessing you have less turnover now and what are the things that are helping you out?
Mick McMullen: Well. It’s really reallocating people into more productive stopping areas where we get much high productivity in terms of tons for manpower. We find that by moving people in there and no ones asked me about grade yet, but you may notice that actually our grade is falling slightly. But we are actually moving people into much more productive stopping areas with slightly lower grade but our cost per ounce is lower. So, really it’s productivity improvements and technology uptake is really the area that we’ve been able to do things more efficiently and therefore, to reduce our headcount as people leave.
Daniel McConvey - Rossport Investments: Second question, with the -- the 7%, maybe this is coming from Johnson Matthey’s report. The 7% increase in recycled cat palladium, is that coming from Johnson Matthey or where is that number coming from?
Mick McMullen: That’s coming from me today. Johnson Matthey, don’t publish their research anymore.
Daniel McConvey - Rossport Investments: Right. What is the base of that? What’s were its rough numbers for say, 2013?
Mick McMullen: The basis of that is the information that we’ve gathered through our industry sources and the confidential sources, so we are unable to tell you where that comes from. But we feel fairly confident in that sort of circa, saying with the 10% increase in the palladium end of the market. The platinum end of the market is seeing quite a bit more subdued growth of 2% to 3% compound average growth rate is probably what we are doing.
Daniel McConvey - Rossport Investments: Okay. But what is the 7% of what number? It’s 7% growth in 2014 and 7% of what million ounces or…?
Mick McMullen: That one -- just off the top of my head and don’t hold me to this but it’s off the top of my head, circa 1.5 million or 1.8 million ounces something like that.
Daniel McConvey - Rossport Investments: Okay. Great. Thank you very much.
Operator: Thank you. We’ve reached end of our question-and-answer session. I’d like to turn the floor back over to Mr. Mick McMullen for any further or closing comments.
Mick McMullen: I’d just like to thank you everyone for taking the time to calling today. We look forward to our next conference call and we will continue to draw as many operational improvements as we can at the business. Thank you.